Operator: Good afternoon, ladies and gentlemen. And welcome to the Q3, 2019 TransDigm Group Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Ms. Liza Sabol, Director of Investor Relations.
Liza Sabol: Thank you, and welcome to TransDigm's fiscal 2019 third quarter earnings conference call. Presenting on the call this morning are TransDigm's Executive Chairman, Nick Howley; President and Chief Executive Officer, Kevin Stein; and Chief Financial Officer, Mike Lisman. Please visit our website at transdigm.com to obtain a supplemental slide deck and call replay information. Before we begin, we’d like to remind you that statements made during this call which are not historical in fact are forward-looking statements. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the company’s latest filings with the SEC. We’d also like to advise you that during the course of the call, we will be referring to EBITDA specifically EBITDA As Defined, adjusted net income and adjusted earnings per share all of which are non-GAAP financial measures. Please see the tables and related footnotes in the earnings release for a presentation of the most directly comparable GAAP measures and reconciliations of those non-GAAP metrics. I will now turn the call over to Nick.
Nick Howley: Good morning. And thanks everybody for calling in. As usual, today I’ll start with some summary comments on our consistent strategy, a few comments on our fiscal year ‘19 performance, outlook and then our capital allocation. To reiterate, we are unique in the industry, due to both our consistency and our ability to create intrinsic shareholder value through all phases of the aerospace cycle. To summarize, some of the reasons why we believe this, about 90% of our net sales are generated by proprietary products and over three quarters of our net sales come from products from which we believe we are the sole-source provider. Most of our EBITDA comes from aftermarket revenues, which typically have higher margins and provide relative stability in the downturns. Our long standing goal is to give our shareholders private equity like returns with the liquidity of a public market. To do this, we have to stay focused on both the details of value creation, as well as the careful allocation of our capital. We follow a consistent long-term strategy. Specifically, we own and operate proprietary aerospace businesses with significant aftermarket content. Second, we utilize a simple well proven value-based operating methodology. Third, we have a decentralized organization structure and a unique compensation system very closely aligned with our shareholders. Fourth, we acquire businesses that fit with our strategy and where we see a clear path to PE like returns. And lastly, our capital allocation and capital structure are a key part of our value creation methodology. As you saw from our press release, we had a strong third quarter with both revenue EBITDA As Defined and earnings per share well ahead of consensus. This is in spite of the payment of a $16 million voluntary refund from the Department of Defense. Our businesses are seeing strong demand in all major markets. Far and away the largest portion of our business, our worldwide commercial aerospace markets is quite strong. The smaller worldwide Defense segment is also doing well. TransDigm's legacy businesses performed well and the Esterline acquired businesses exceeded our acquisition model and our prior guidance. We have increased the full year guidance substantially to reflect both of these factors. We now expect the Esterline businesses to run at an EBITDA margin in the mid 20% range for our 6.5 months of ownership. A long-term opportunity in Esterline is quite likely better than we modeled in our valuation and at this point Esterline is improving faster than we originally modeled. We do not intend to comment on the 2020 outlook at this time. We will do so during our November call. With respect to M&A and capital allocation, as I'm sure you saw, we executed an agreement to sell the Scoria business to Eaton for $920 million. We expect this to close during the first quarter of our fiscal year 2020. We currently anticipate that this will be the largest disposition of the Esterline businesses. We do however expect to sell some other businesses. Souriau and any other Esterline businesses we may sell have less proprietary aerospace and aftermarket content than we target, as such, they all fit well with our consistent long-term strategy. With respect to capital allocation, as we have done a number of times in the past, we’ve decided to pay a special dividend of about $30 a share, or roughly 60 - 6% of the recent 30 day average share price. This will be paid on or about August 23. Given the recently announced sale of Souriau for $920 million, the significant amount of cash currently available, our solid operating performance and our ongoing expectations we think this is appropriate at this time. This still leaves the company with substantial liquidity and the financial flexibility to deal with any currently anticipated capital requirements or other opportunities that may come up in the readily foreseeable future. After the special dividend payout in late August, we still anticipate having about $1.3 billion of cash and about $725 million of unused and unrestricted revolver as of the end of our fiscal year, that is 9/30/19. We also have additional capacity under our credit agreement. After closing the Souriau sale and assuming no further acquisitions or capital market activity, we expect our cash balance to be over $2 billion at the end of Q1 fiscal 2020. We still expect to have borrowing capacity under our agreement and the revolver balance still available. As always, we will regularly evaluate our capital requirements and allocation decisions as we go forward. We continue to actively evaluate and seek M&A opportunities. We have a decent pipeline of mostly small mid-size possibilities. I can't predict or comment on possible closings, but as I said before we are still working steadily at M&A and we're open for business. And now let me hand it over to Kevin to more fully review our performance, outlook and a few other items.
Kevin Stein: Thanks, Nick. Today, I will review our results by key market then discuss the profitability of the business for the quarter. I’ll provide revised fiscal year guidance and review some other operational items. As you’ve seen we had a very strong third quarter including another quarter of above-average organic growth. Mike will provide more details on the financials. But our third quarter operations, specifically revenue and EBITDA As Defined were up substantially over last year. Q3 GAAP revenues were up 69% versus prior year Q3 and EBITDA As Defined was up 42% over the prior year with margins at approximately 42% of revenue. Now we will review our revenues by market category. For the remainder of the call, I will provide color commentary on a pro forma basis compared to the prior year period in 2018 that is assuming we own the same mix of businesses in both periods. Please note this market analysis excludes Esterline. We will begin to include the Esterline acquisition in our market analysis once we have validated the data as legacy TransDigm had a different market segmentation process. In the commercial market, which makes up close to 70% of our revenue, we will split our discussion into OEM and aftermarket. In our commercial OEM market, Q3 revenues increased approximately 10%, when compared with Q3 of fiscal year 2018. Due to our year-to-date revenue growth of 10% and continued booking strength, we are increasing our commercial OEM full year revenue guidance to mid to high single digit growth from our previous guidance of mid single-digit growth. Please note, this increased OEM guidance includes our expected impact from 737 MAX groundings and shipping delays and assumes we expect to be shipping at 42 aircraft units per month. We believe any impact from the MAX issues should not have a material impact on our financials this fiscal year. Now moving on to our commercial aftermarket business discussion. Total commercial aftermarket revenues grew by 8% over the prior year quarter and grew sequentially. In the quarter, commercial transport passenger growth of 9% was offset by slower growth in the commercial transport freight submarket and business jet. Overall, commercial transport fundamentals continue to remain relatively strong, although a few items bear watching. Global revenue passenger growth has decelerated slightly in the past few months albeit growth is still near the long-term average. Additionally, cargo demand is weaker as FTKs have declined from reaching an all-time high in 2017. Business jet aftermarket growth has stagnated somewhat following a period of higher growth in 2018. Although we feel good about the overall commercial aftermarket due to some of the items mentioned above, we maintain our commercial aftermarket guidance for high single-digit growth. Now let me speak about our defense market, which is just over 30% of our total revenue. The defense market, which includes both OEM and aftermarket revenues was up approximately 19% over the prior year Q3. Revenue growth was distributed across most of our business units. Last year, we recorded strong defense bookings that we are continuing to see materialize into sales in both defense, OEM and defense aftermarket. However, we anticipate defense sales growth to temper in the fourth quarter from the robust growth experienced year-to-date and tougher comps in the prior year Q4 period. Due to higher-than-expected defense sales growth year-to-date, we are increasing our defense full year revenue guidance to grow in the low teens from our previous guidance of high single digit growth. Now let’s move on to profitability. I'm going to talk primarily about our operating performance or EBITDA As Defined. EBITDA As Defined of about $691 million for Q3 was up 42% versus prior Q3. This includes $134 million of Esterline contribution in the quarter. EBITDA As Defined margin in the quarter was approximately 42% of revenues. EBITDA in the quarter negatively impacted by acquisition dilution primarily from Esterline and the acquisitions purchased in fiscal year 2018 as well as the payment of the $16 million voluntary refund. Excluding these items, our core margin was robust at 52.4% and improved both sequentially and over the prior year. Margin improvement progress is always important to us and indicates that our base businesses continue to find opportunities to drive improvement within our value drivers. We continue our relentless pursuit of value generation. Now let’s turn to 2019 guidance. We are increasing our sales and EBITDA guidance to reflect the strong results of our legacy TransDigm business and better than originally modeled Esterline integration performance. The midpoint of our fiscal year 2019 revenue guidance is now $5.53 billion, an increase of $85 million. This revenue guidance is based on the revised market channel growth rate assumptions we just discussed for TransDigm legacy business, plus higher expectations for Esterline revenue. The midpoint of fiscal year 2019 EBITDA As Defined guidance is now $2.44 billion, an increase of $90 million with an expected margin of around 44%. If you add back the voluntary refund, about 40% of this increase is related to performance of our legacy business with the remainder attributable to Esterline. Excluding Esterline, the full year margin is expected to be around 50%. We are increasing the midpoint of our adjusted EPS $1.28 to $18.09 per share, primarily from the increased EBITDA guidance. As Nick said earlier, we won't comment on 2020 guidance just yet. The revised guidance for this full year assumes that we own all of the Esterline business units for the remainder of fiscal year 2019. So it includes the full fourth quarter contribution from Souriau. As mentioned in the press release announcing the sale of Souriau to Eaton, we do not expect these transactions to close until the first quarter of fiscal year 2020. Now let me give you an update on the Esterline integration and expectations. After 6.5 months of ownership, the Esterline integration is progressing well. We continue to wind down the former corporate office activities in Bellevue, Washington. The phased workforce reductions there appear to be working well as we migrate corporate job functions by the end of the calendar year. As noted, before, we have equipped the Esterline integration team with senior TransDigm legacy EVPs who are teaching our culture and operating model around value generation to all new business. We are making progress here but as you know cultural change can be slow and requires constant reinforcement. Although, we do not share many specific details on a business unit, I believe we can use the considerable operations performance improvement at Kirkhill to illustrate how we are addressing the opportunity provided. During our time of Kirkhill ownership, we have followed our integration model focused the team on the value drivers, invested capital well above historical levels, drove accountability and bias for action within our team and organized the business along business unit structures. Kirkhill provides a series of mission-critical seals for the Joint Strike Fighter program and prior to TransDigm ownership the Kirkhill contribution to the F-35 program was failing, our OEM and DoD partners and Kirkhill as a whole was losing significant money. Today, we have turned the company around, now making a solid profit. We have increased the F-35 output by almost 400% and have decreased our over dues by greater than 75% for this critical program all within a short period of time. This is the true value we provide to our shareholders and customers. Our operations deliver highly engineered, quality products, on time as expected. Finally, during the second quarter as Nick mentioned in the last earnings call the inspector general reports on the sample of our aftermarket parts was completed with no allegation of any wrongdoing. Though the high level of profitability was questioned, the report requested a $16 million voluntary refund. As you maybe aware, the company decided to make a $16 million voluntary payment spread around various Department of Defense agencies and this was included in our results this quarter. This was not an obligation of the company, but it was not characterized as such and was clearly specified as not any admission of wrongdoing. However, in the interest of dealing with a good and important customer, we thought this was in the best interest of the company. We have also been informed that there will be an additional Inspector General audit. At this time, we are unable to assess the timing or the exact scope of the audit. As in the past, we will not publicly comment on this audit along the way unless there is some substantial reason to do so. As a reminder, direct sales to the U.S. government make up in the range of 6% to 8% of our annual revenues depending on the year and whether you include distributors or not. Of this 6% to 8% typically about a quarter, we estimate to be competitive product and roughly another 10% is in contracts over $2 million covered by TINA truth and negotiations regulations that require certified cost data. Many, if not most of our remaining direct military sales we believe fall under commercial designation as expected given our commercial product development pedigree. So in summary, we are pleased with the Esterline acquisition thus far and with our strong operational performance, both in the quarter and year-to-date. With that, I would now like to turn it over to our Chief Financial Officer, Mike Lisman.
Michael Lisman: Thanks, Kevin. It was a good third quarter. I’ll quickly review the financial results of revised full year guidance in more detail. First for the legacy, TransDigm business and then second for Esterline. So for the legacy TransDigm business third quarter net sales were just over $1.1 billion, which is up approximately 13% versus the prior year. Organic sales growth was above average at 11.8% and drove the majority of the increase. EBITDA As Defined increased 14% from the prior year to $557 million. Excluding the non-operating $16 million voluntary refund paid to the U.S. government EBITDA As Defined would have been $573 million implying a margin of 51.4% versus the 49.7% from last year’s third quarter. Now switching gears over to Esterline. Esterline generated $545 million of revenue and $134 million of EBITDA in our Q3, which implies an EBITDA margin of 24.6%. As Nick and Kevin mentioned, this margin is ahead of our expectation and beats the rough EBITDA margin guidance we provided on last quarter’s call. Now for the consolidated entity including both legacy TransDigm and Esterline. Adjusted EPS for the quarter was $4.95, which is up 23% from the same quarter last year. If you were to exclude the $16 million non-operating charge for the voluntary refund and then also a $10 million one-time tax charge that we took during the quarter, adjusted EPS would have been $5.35 per share, which is an increase of 33% from last year's third quarter. A quick update on taxes. We’re still expecting our GAAP and cash tax rate to be about 24% to 25% for the year and we’re expecting an adjusted tax rate of roughly 26.5%. On cash and liquidity, we ended the quarter with just over $2.7 billion of cash on the balance sheet and a net debt-to-EBITDA ratio of 5.8 times. Pro forma for the dividend that was just announced, our net debt-to-EBITDA ratio will increase to approximately 6.3 times as of the date of the dividend payment which is about August 23. One final note on financial disclosure going forward. In our comments on today's call as well as on the call slides, we've given some additional info on Esterline’s financial performance for the first full quarter under TransDigm ownership. Going forward, so on the November earnings call and after, we do not intend to disclose this information. As Kevin mentioned, the Esterline organization as it used to exist is largely now gone and the 20 business units that used to comprise Esterline report independently into TransDigm within our power, airframe and non-aviation segments. I would also quickly caution everyone not to expect $130 million plus of EBITDA from the former Esterline business units going forward as this figure for our Q3 includes certain units that are likely to be divested as Nick stated. With that, I’ll hand it back over to the operator to kick off the Q&A.
Operator: [Operator Instructions] And your first question comes from Ronald Epstein with Bank of America Merrill Lynch.
Ronald Epstein: Hey, good morning.
Nick Howley: Good morning.
Ronald Epstein: Now that you've owned Esterline for a while, what - really what surprised you the most positively and negatively?
Kevin Stein: Positively, I think the amount of opportunity we’re finding. I think the way that the teams are identifying that with us and aggressively going after it. I think that has been just a breath of fresh air how much opportunity there is both on improving the operations themselves and in productivity and other items. But really in improving the operations there's a tremendous amount of opportunity. But that's also the negative is that finding businesses that I think are in times need some more capital injection, need to redo their operations, drive accountability. I think it all fits well with the TransDigm model. I also think some of the morale was maybe a little lower than it could have been. So I think the teams are responding very well to our leadership and assistance we’re providing.
Nick Howley: The only thing I might add is on the downside, Kevin I don't know that we’ve seen any significant downside if we didn't know how to move into it. Hopefully that continues to be the case.
Ronald Epstein: I mean one other question that's in the back of everybody's mind see if I can articulate this well. Is there anyway you can maybe give rough quantification of that opportunity? Because as people build the models, they think about this, how can we think about it in a more quantified fashion?
Kevin Stein: Yeah. That's difficult. So we will give guidance for 2020 next year. It’s difficult for us as we're still unpacking us to give you a lot of guidance on that. So can we give 2020 guidance next earnings call? I know that it's difficult to model right now, but we're still trying to unpack and learn this as we go as well.
Ronald Epstein: Great. And then just one last follow on that. I think the guidance you gave for this year implies that the margins at Esterline might slow down a bit in the second half. But historically that was usually the better margin period for Esterline. I mean, would there be any reason why you should expect that historical precedent to change?
Kevin Stein: I think in general it's conservatism on our parts. That's what we’re stressing right now as again we're learning and unpacking the Esterline businesses. We haven’t seen anything as Nick said that alarms us, but we just don't want to get anyone ahead of our performance just yet.
Ronald Epstein: All right. Thank you very much.
Operator: Your next question comes from David Strauss with Barclays.
David Strauss: Thanks. Thanks for taking my question.
Nick Howley: Good morning.
David Strauss: Morning. Wanted to ask about free cash flow, it looks like based on your year end target for the balance of the year you're forecasting about $1 billion, maybe $1.1 billion in free cash flow this year is that correct? And it still looks like that's implying like a 40% conversion, low 40% conversion of EBITDA and I think you've targeted closer to 50%. If you could just talk about that a little bit? Thanks.
Michael Lisman: I think the stats you gave are directionally accurate. We have some one-time cash charges on the Esterline acquisition. If you were to take a stab at backing those out, I think you would get closer to the 45% to 50% range on EBITDA conversion that we've had historically. And that's true for the quarter and the full year.
David Strauss: And Mike so that's a good way to think about the modeling free cash flow conversion looking ahead from here 45% to 50% on EBITDA?
Michael Lisman: It is. It is. And obviously as you get to a higher leverage points in the cycle, you're with the interest payment it will be slightly towards the lower end but it will be in that range as we’ve been historically.
David Strauss: Okay. And then on the Souriau sale. Anyway how should we think about the adjusted EPS dilution associated with that as we think about modeling 2020?
Michael Lisman: We haven’t – it’s basically in the guidance as we said. We haven't given specific or quantified in the past exactly what business units are contributing to our guidance. We don't want to start doing that now. But we expect basically it's in the guidance for the year, there's a chance it could move into discontinued operations during the next quarter. And I think you've probably seen from the some of the press releases that are out there roughly what it could be contributing on revenue and EBITDA.
David Strauss: Okay. Thanks very much.
Operator: Your next question comes from Carter Copeland with Melius Research.
Nick Howley: Morning, Carter.
Carter Copeland: Hey. Good morning, guys. Just a couple of quick ones. One the commentary that you made around cargo freight and business jet that sort of stagnation and the comment around FTKs are you seeing anything in the bookings - the four bookings that is really driving any sort of material cost or concern there or it's just something you wanted to note?
Nick Howley: I think it’s something we wanted to note. We have seen a little softness or slowing down in maybe some of the business jet side, but just wanted to comment on that that was dragging down the total number. And certainly on the FTK side the cargo metrics have become more important to us because of acquisitions we've made over the years. And just wanted to draw that to everyone's attention that that's an important piece for us and has performed not unexpectedly although it's a little bit of a drag on our aftermarket number.
Carter Copeland: So, it’s down, but are bookings running below shipments even beyond that?
Nick Howley: In the freights I don't have that split out in front of me. So, I can't comment on that. I think in general its better. Liza's giving me the thumbs-up. So, it's generally getting better in that cargo space.
Carter Copeland: Okay. Thumbs-up is official, so we’ll take that. And then just one quick follow-up on the thought process around the sizing of the dividend, the leverage ratio that you’ll be left with there. I think you said it was 6.3%. You've obviously had some comfort having that be a bit higher either on deals or dividends in the past. And so I wondered if that implied any impact on the M&A pipeline or flexibility, you're leaving yourself. Any comments you can make there would be helpful. Thank you.
Nick Howley: Yes. I don't - I wouldn't take a lot from that quarter. This is Nick. Seeing - put the whole thing in the picture it seems like a reasonable number to go with right now. As you can see, we continue to build up both the cash and financial flexibility. So we'll make that call sort of quarter-by-quarter.
Carter Copeland: Okay. All right. Thanks guys.
Operator: Your next question comes from Gautam Khanna with Cowen and Company.
Gautam Khanna: Yes. Thank you. Sorry for the noise in the background. I was wondering after you’ve looked at Esterline now, do you still -- are you still comfortable at about 30% of the aerospace and defense lines of revenue is aftermarket as you guys have defined it? Or has that changed at all?
Nick Howley: I think it's too early to tell on this. We certainly feel good about the acquisition exceeding our expectations so far. But it's too early as we haven't completed our market segmentation work on Esterline. We both did things a little differently and we need to go through this accurately and it's on a part number by part number basis, so it takes some time. So, we're still going through this.
Kevin Stein: But I wouldn't think we feel any reason to think it's any worse than we thought.
Nick Howley: Yes. I think generally acquisitions look better, but beyond that I don't know.
Gautam Khanna: Okay. And just so in terms of kind of reassessing the pricing strategy that's still early innings I presume. Is that a fair assumption?
Nick Howley: Absolutely.
Gautam Khanna: Thank you very much guys.
Nick Howley: Sure.
Operator: Your next question comes from Michael Ciarmoli with SunTrust.
Michael Ciarmoli: Hey. Good morning, guys. Thanks for taking the question. Kevin, can you give a little bit more or get more granular on where Esterline is exactly outperforming your expectations, I mean, is it on the cost side? Are you seeing better revenue growth in certain product lines? Are you getting better pricing? I mean, can you just give us some tangible examples of maybe where and how it's exceeding your expectations?
Kevin Stein: Yeah. I think it's really across the board. Not to cop out on you, but operationally we're getting more volume through the facilities. We've done some selective hiring in a few places. So operationally, productivity we're getting more out of the same milestone and we're able to do it at lower costs. We're finding some pricing opportunities. Certainly, there's some lost contract reserves that Mike has discussed that are put into there that we'll have to resolve out into the future. But it's really on all legs of our value generation stool. It's productivity, it's price, it's value generation, it's driving more volume across the milestones and it's also winning new business as we go forward. So I can't point to any one area. I tried to give some evidence of our operational progress that is significant on the Kirkhill side to give you some evidence of the problem or the opportunity that we're facing and what we're doing about it.
Michael Ciarmoli: Got it. And then just as it relates to the DoD, the Inspector General I mean, it sounds like on a go-forward basis, they put out a government wide request requesting pricing details from all your subsidiaries. What if anything do you guys have to change internally about - regarding your processes going forward maybe, how you show cost data? I mean, can you just give us a sense as to what might have to take place -- is doing business at DoD?
Kevin Stein: It's still very early in the process. We still have - I mean, there are two issues that you've raised. One is the - there's a secondary IG audit and then there's this DoD pricing memo. As far as the IG audit goes, it's unclear to us how long this audit will take. We assume that given the result of the last audit that took a while, the IG is looking at a slightly larger pool of contracts. But we don't have -- we don't believe that there will be anything different in this process than in the last. We also believe the results will be the same as the last IG audit. But we are cooperating with that and we'll provide information as requested. We assume that any exposure here is voluntary and also de minimis to the corporation. Given the size of the military business that we have direct to the government to the DoD. As far as the DoD pricing memo goes as best, we understand that memo reflects the wording of the applicable FARs or those federal acquisition regulations. The contracting officers could always request cost or pricing data and of course, we always comply with the FARs. We all know we're highly decentralized so our operating units are handling any cost or pricing data requests locally as they always have, when they come up on a case-by-case basis. We're trying to be cooperative here. Some awards could be delayed, but it's hard to estimate how much of this we still see our defense business moving forward. Hence, we're supplying costs on a necessary basis as requested. So we are attempting to work together. We recognize that the DoD is a valuable customer to us and we want to work together to come to a workable solution on this. Does that answer your question?
Michael Ciarmoli: That does. That does. Helpful. I’ll jump back in the queue. Thanks, guys.
Operator: Your next question comes from Myles Walton with UBS.
Myles Walton: Thanks. Good morning.
Nick Howley: Good morning.
Myles Walton: I want to follow-up maybe on Michael's just - with on defense. I think last quarter you said you're expecting – you got flattening sales as the bookings were flattening. But obviously you put up a pretty good number here in the quarter. So I’m just curious can you make a comment on where bookings are trending year-to-date in defense and what you did in the commercial businesses?
Nick Howley: Bookings are still – we’re still booking. We're still booking ahead of sales, but at a slower rate. I think our total bookings for the year versus ‘18 are only up modestly year-over-year. We still see strength in OEM. I think our aftermarkets - defense aftermarket has slowed a bit on the bookings side. So that's our commentary on bookings. That's why we anticipate this will be flattening out. It just hasn't happened yet. It's difficult to predict when some of the bookings are due to ship. Just trying to flag what we see has some weakness in our business looking forward. But it's a smaller piece for us, but just looking to be fully transparent.
Myles Walton: Yes. I appreciate.
Nick Howley: You're talking about total. Yeah.
Kevin Stein: Yeah.
Myles Walton: And then on Esterline specifically, if you can comment on their bookings strength? I mean, it looks like they did about 9% organic sales growth this quarter, which is an acceleration from last quarter. And just kind of curious if you can make any comment around customer receptivity and how that's flowing through to bookings trends.
Nick Howley: I don't have any bookings trend in front of me on Esterline and there's nothing to comment on right now on that. And I don't want to get into the specifics of this business or that business. But I think in general, we are happy with the acquisition appears to be exceeding our expectations. So that includes there is good demand out there.
Myles Walton: Okay. And Mike, just a clarification. A $100 million transaction costs, how much of that is cash for the year?
Michael Lisman: The exact cash for the year, I don't have the year in front of me. It's $60 million for the - $60 million is cash for the year and the bulk of it fell into this quarter.
Myles Walton: Okay. Thanks again.
Operator: Your next question comes from Robert Spingarn with Credit Suisse.
Robert Spingarn: Hey, good morning.
Nick Howley: Good morning.
Robert Spingarn: Wondering if you could at least speak to Kirkhill as a proxy for the rest of Esterline. You mentioned, it's a pretty good example. You've owned that now for I guess, about five quarters. And so while you're not ready to predict where the rest of Esterline can go how does Kirkhill inform you in terms of the timing and the magnitude of the margin improvement?
Nick Howley: Interesting question. That was certainly what I wanted to illustrate and including them. In terms of the amount of time, or where I can get to, I think what it tells us is there's a lot of operational improvement that we have to go through in our facilities. It's not just there's a lot of work to be done here as we look at the facilities. I think there is cost to remove. There is improvements to make. I think Kirkhill sits as an example, because it was undercapitalized on some key areas and was sort of in a difficult maybe even losing morale. That has been the part, if you turn around, and drive with our culture. I think that it's going to take time. Operations improvements don't come in and just wave a magic wand and they happen. But clearly, across the board, there is a lot of work to be done here to get these businesses to delivering on time with the quality necessary appropriate quality. So there is a lot of work to be done. So it will take time on the order of several years to get this is where we needed to be and where our customers need it to be. I think that's all I can comment on. Again, we're still unpacking the Esterline businesses and each one is a bit of a snowflake. Each one needs different structural improvements. Some need hiring. Some need engineering injection. Each one requires a different business plan to get it turned around. But what we provide is that intimate transparent contact with our EVPs and the business units, in a forum that is all about - not about blame, but about finding the solution and driving it quickly.
Robert Spingarn: Okay. So, based on that it sounds like you're not through Kirkhill yet either. That's probably several more.
Kevin Stein: No. No, no. We have a couple of years to get through all of Kirkhill, I think.
Robert Spingarn: Okay.
Kevin Stein: We've made great strides you heard. 400% output improvement on key fields that we were struggling on before our overdue is down. But that's just on one – that's on the F-35 sell itself. There's still a lot more work to be done throughout the rest of the plan.
Robert Spingarn: So just last question on this. In general at Esterline, you talked about getting more volume through and you just mentioned the productivity side of that. So were they simply under producing or not producing quickly enough? Or were there – are there examples across Esterline, where they were also underselling? And is that an opportunity?
Kevin Stein: It’s difficult to comment on underselling. I think again, it's going to take us time to unpack this. So difficult for me to know, I think there's been strong response from customers. I think the aerospace environment knows what TransDigm does, when it takes over a company, about fixing them, making them better, investing, driving operations improvements. And I think that positive attitude has certainly come forward from our customer base, but beyond that difficult to comment.
Robert Spingarn: Okay. Thanks, Kevin.
Operator: Your next question comes from Noah Poponak with Goldman Sachs.
Noah Poponak: Hey, good morning, everyone.
Nick Howley: Good morning.
Kevin Stein: Good morning.
Noah Poponak: Can you specify what the Esterline margin in the remaining quarter of the year, guidance is that, that rolls into the full year guidance?
Michael Lisman: We are guiding individually on Esterline versus legacy TransDigm. We’re just basically doing it, Noah, as a consolidated company, going forward. And that's how we're going to do it, in future quarters as well.
Noah Poponak: Okay. I only asked that because, I mean, we know a lot of the inputs and the algebra. But not all of them, but it looks like, the guidance implies, kind of like almost like a mid-teens margin for Esterline, in the fourth quarter versus the over 20, you're running at in the.
Michael Lisman: No. It's higher than that. And closer to something more like what we did this quarter and mid-teens.
Nick Howley: Well, what we said is that, we expected to run mid-20s for the 6.5 months ownership.
Noah Poponak: Right. That's - so I think yeah Nick, that's what I was asking because it didn't square with that comment.
Nick Howley: Yeah. So maybe we're being a little conservative.
Michael Lisman: Yeah. And maybe somehow, we've got more, some piece we said, we're conservative on that.
Noah Poponak: Okay. I can also follow-up on my math, with you, guys, after the call there. Kevin, the example you gave on the F-35 at Kirkhill, is that a variant? And on time, and to specification, is that something you find, maybe not quite to that degree, but is that something you find and pretty much everything you acquire?
Kevin Stein: We frequently find operations that aren't performing at the level that they need to for what their customers expect. So, if that is specifically what you're asking, yes, we do see.
Noah Poponak: Well, I guess I'm asking less on operations broadly, which I think, what I think of as just sort of price cost and margin performance. I’m asking more specifically on the delivery specification to the customer. Because I sense that, that's something that sort of underrated in your business, relative to all the things, we think about that go into the business. And so I'm curious, if that was very…
Kevin Stein: Yeah. I think you’re right. We do find, in general, that businesses that we acquire need to have some part of their operations fixed. They make great products. They’re great engineers. But operationally, they run a little laughter than they need to, on delivery performance and other key attributes. So, yeah, that means that, many of them, if not most, are improvement projects when we get them. And I think, yeah, you’re hitting on the point that, I've been trying to drive on that, when there's more to us. We’re excellent operators. And we fundamentally improve businesses, by investment, by structure, by empowering the teams to make a difference. And it absolutely works.
Noah Poponak: Tax rate. Is there any change to the recurring beyond 2019, medium-term tax rate?
Kevin Stein: No. No change.
Noah Poponak: Okay. Thank you.
Operator: Your next question comes from Robert Stallard with Vertical Research.
Robert Stallard: Hi. Thanks so much. Good morning.
Nick Howley: Good morning.
Robert Stallard: First question, a bit boring, I'm afraid. On SG&A, obviously, some one-off items here in the third quarter. But if you look at the underlying number, do you think there is an opportunity to bring that down, over time?
Michael Lisman: We basically - we run the businesses, Rob, towards more and look more at EBITDA margin, over time. If you were to look historically, as well as this quarter, has trended down a little bit, by a couple of tenths of a percentage points. And we expect to see continued improvement like that, going forward.
Robert Stallard: Yeah. If we’re looking at absolute numbers – you know you strip out that DoD refund and stuff. It's probably tough to actually bring the pattern of the absolute number down right going forward?
Kevin Stein: The absolute dollars you're saying rather than percent basis?
Robert Stallard: Yes.
Kevin Stein: Yes. I'm not sure.
Liza Sabol: It depends to be - because what – what’s in SG&A versus gross profit and as we work that out.
Kevin Stein: Yes. I'd suggest as Mike says - focus on the EBITDA margin. And I would - in total with the Esterline included I would expect we should see that continue to move up. Hard to say - I don't know exactly which piece it comes out of.
Robert Stallard: Right. And then secondly on guidance. This may be conservative, but your forecast aerospace OEM seems to suggest quite a big slowdown in the fourth quarter. And I was wondering if there is anything specific business-wise that drives that?
Kevin Stein: No. There is not – there is nothing that stands out as a slowdown. It's conservatism. There's some unknown that we talked about with MAX and other piece is that we try to include. But I think it's just conservatism given the market.
Robert Stallard: Okay. Maybe just one final one. A couple of supplies -- noted that there has been slower-than-expected initial provisioning on the 737 MAX. Is that something that you've seen in the last two quarters?
Kevin Stein: We don't do a lot of the initial provisioning, but given that they are slowing down shipments that would - 737 provisioning was a significant piece for you that would make sense. It's not a significant piece for us. So we don't - we've been building at anywhere from 42 to full rate depending on what our customers want from us So it's kind of different business-by-business, but our forecast going forward assumed a 42 build rates.
Robert Stallard: Okay. That’s great. Thank you very much.
Operator: Your next question comes from Ken Herbert with Canaccord.
Ken Herbert: Hi. Good morning.
Kevin Stein: Good morning.
Ken Herbert: I just - I first wanted to ask on your defense business. Similar question – I’m assuming its conservatism just would sort of a full year up 2017, but the guide lower in teens. Is there anything specifically to point to besides just caution in the outlook?
Kevin Stein: Just caution in the outlook. There's nothing that we are pointing to.
Ken Herbert: Okay. That's helpful. And then - -can you provide any more color either around the third quarter results for aftermarket earlier on the defense side? Any relatively doing better or any specific programs or opportunities you specifically point to – where you saw notable strength in the quarter?
Kevin Stein: You know, I think, F-35 is a leading program for us. I comment on that that continues to do well and continue to grow and expand for us. Many of our businesses are on that platform, but I think, we look for that. I anticipated that question, we all did and we went looking for are there any one-timers. It's nicely spread across the business. If you look for platforms that takes us a little bit longer to diagnose, but F-35 is important. The A400 is important. You know, there is a lot of important platforms the same ones that you would expect, but the OEM strength is really nicely across many businesses for us.
Ken Herbert: Okay. That's helpful. And just finally you typically don't talk about operating segments much. But as I think about some of your businesses like to Tellar [ph] and GDC and others that have significant defense exposure. I guess is it fair to assume you're seeing similar trends either across businesses or geographically, as I think about your European defense exposure relative to United States?
Kevin Stein: I have not diagnosed European defense versus US defense, so I can't comment on that.
Ken Herbert: Okay.
Kevin Stein: I assume their strength, because I am not seeing it as regionally weak, I assume that it's solid across. But I can't comment for sure.
Ken Herbert: Okay. I’ll leave it there. Thank you very much.
Kevin Stein: Sure.
Operator: Your next question comes from Rajeev Lalwani from Morgan Stanley.
Unidentified Analyst: Hi, gentlemen. It's actually Jonathan on for Rajeev. Just a quick one on the MAX. Are you seeing any uplift on - because of the grounding on commercial aftermarket, I realized you guys talked about how it's not a material impact for the year? But just wondering, if there's any older aircraft coming online on the - helping on the aftermarket side?
Kevin Stein: Yeah. I can't point to that gave us X amount of uplift in the quarter. It's in the noise. The other legacy planes were already flying. They are simply flying them a little bit harder than they were before. So we haven't seen anything noticeable and I think that is similar to what others have commented on in the industry so far.
Unidentified Analyst: Got it. Thanks.
Kevin Stein: Sure.
Operator: Your next question comes from Greg Conrad from Jefferies.
Greg Conrad: Good morning.
Kevin Stein: Good morning.
Greg Conrad: Just wanted to follow-up. I think on the last call you have talked about recovering maybe $1 billion of the purchase price from Esterline from divestitures. I think you said Souriau is the largest part of that at 920 [ph], but it seems like maybe there is upside. Is there any way to think about the percentage of the business that kind of fits your proprietary strategy versus maybe things that are non-core?
Nick Howley: Yeah. I think we gave - this is Nick. I think we give you when we first talked about the acquisition some sense of what we thought was core kind of businesses and what didn't now. And I think that umber was somewhere in the 20%, 25% -- now that's not all severable because some of it sort of embedded in other businesses. I think the guidance we gave you on about $1 billion and more of asset sales, as you see we got 920 on the first one, and I don't think we're finished. So, I think that's pretty safe conservative guidance. All these things go as we anticipate.
Greg Conrad: Thank you. That's helpful. And just one follow-up, I mean, you talked about freight and business jet aftermarket maybe being a little bit concerning. But the commercial aftermarket has stayed strong as air traffic decelerated. A lot of the suppliers are talked about some pent-up demand. I mean, is there a portion of that business that maybe concerns you in terms of sites to slower traffic growth?
Nick Howley: No. I think it bears constant watching to see if it changes, but so far, it’s not. So we are 9% year-over-year growth in the large commercial transport aftermarket. That’s a robust number. So I feel good about it. Yes, freights are a little weaker. We've been flagging that for a little while. Business jet, we've also been flagging as not really understanding the fundamentals behind that market, and why it's predicted to go up so much. But beyond that, we’re seeing a little bit softer in freight, a little bit softer in business jet. But our large transport again robust at plus 9%.
Greg Conrad: Thank you.
Operator: Your next question comes from Seth Seifman with JPMorgan.
Seth Seifman: Thanks very much. Good morning and good quarter. Mike, I think we spoke on the last call, but I wanted to see about following up. Were there write-ups of loss making contracts at Esterline? And how much do those contribute to EBITDA?
Michael Lisman: There was a reserve during the quarter. Impact to EBITDA was about $12 million for our Q3.
Seth Seifman: Okay. And is that sort of like a go forward number?
Michael Lisman: We’re finalizing our calculation. Our rough estimate is we expect an amount like that to run out over three to four years when the contract is complete.
Seth Seifman: Okay, okay. Great. Thanks. And then as a follow-up, Nick you mentioned open for business again for acquisitions. As you look out at the landscape, did you expect any more scrutiny on potential acquisitions with significant DoD content like a DDC or an X10?
Nick Howley: I don't, the truth of the matter is I don't know. I'm not - I think we couldn't have the normal - and I trust that. I expect that we would get the same kind of results, but it's just - frankly I just don't know. We haven't seen any indication of that yet or do we anticipate.
Seth Seifman: Thanks very much.
Operator: Your next question comes from Hunter Keay from Wolfe Research.
Unidentified Analyst: Good morning. This is Will [ph] for Hunter. Going back to selling and administrative costs, what was the asset percentage of sales excluding acquisition-related cost and non-cash comp in third quarter?
Michael Lisman: Sorry. Can your repeat that?
Unidentified Analyst: So, if we think about the selling industry and if cost -- what was the asset percentage of sales if you exclude all acquisition-related costs and non-cash comp?
Michael Lisman: I think that the detail for you to run that computation would be in the Q that we released this week. So I would just point you towards that when it comes out.
Unidentified Analyst: But was it excluding that $16 million refund? Was it roughly flattish directionally? How should we think about it?
Michael Lisman: I'll point you towards the Q.
Unidentified Analyst: Okay. Thanks.
Operator: And at this time, we have no further questions. I'll turn the call back over no Ms. Sabol for closing remarks.
Liza Sabol: That concludes our call for today. We’d like to thank you again for calling in and again look for the Q later this week. Thanks.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.